Operator: Ladies and gentlemen, welcome to the Cognizant Technology Solutions Third Quarter 2011 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to David Nelson, Vice President, Investor Relations and Treasury at Cognizant.
David Nelson: Thank you, and good morning, everyone. By now, you should have received a copy of the earnings release for the company's third quarter 2011 results. If you have not, a copy is available on our website, cognizant.com. The speakers we have on today's call are Francisco D'Souza, President and Chief Executive Officer; and Gordon Coburn, Chief Financial and Operating Officer of Cognizant Technology. Before we begin, I would like to remind you that some of the comments made on today's call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risks and uncertainties as described in the company's earnings release and other filings with the SEC. I would now like to turn the call over to Francisco D'Souza. Please go ahead, Frank.
Francisco D'Souza: Thank you, Dave, and good morning, everyone. Thank you for joining us. I am pleased to announce that Cognizant has delivered another strong quarter of industry-leading revenue growth and non-GAAP operating margins within our target range. Third quarter revenue was more than $1.6 billion, an approximately 8% increase sequentially and 32% increase year-over-year. Growth continued to be broad-based across our portfolio of industries, services and geographies. As we look at the marketplace today, we continue to see a robust pipeline. Our clients are not slowing down their decision-making processes. As is customary at this time of the year, we are engaging with clients as they go through their annual budgeting cycles. While it's too early in that process, our view is that clients' 2012 IT and operations budgets will remain somewhat flat with perhaps a slight upward bias. Our clients are clearly indicating that they will continue to shift work to global delivery models and as a result, like in past years, we expect our growth to continue to be fueled by the ongoing share shift of budgets to the global model. In spite of volatility driven by factors such as the economy, the advent of new disruptive technologies, new government regulations and continued globalization of markets, we find that our clients are continuing to invest thoughtfully and strategically in their businesses. In fact, it is because of this persistent uncertainty and volatility of the new normal that our clients are working hard to protect investments that are directed towards building agility into their businesses. In a volatile environment, agility becomes the key attribute of success and the global delivery model becomes a key lever that clients can use to release strapped [ph] budget dollars to protect investments in strategic initiatives. By helping clients build agility into both the revenue and cost side of their operating models, we help them capitalize on volatility and create competitive advantage. On the revenue side, being agile means clients are developing capabilities that enhance their customer responsiveness, identifying capitalized and market trends and drive top line growth. On the cost side, agility means the ability to rapidly adjust capacity and underlying operating costs in response to changes in market demand while continuing to drive efficiency and effectiveness. An interesting leading indicator of this trend comes from the growing body of work we are currently doing in Cognizant Business Consulting, our management consulting group. Over half the consulting work we're doing for clients is oriented toward strategic growth, while the balance is related to cost containment and cost flexibility. Our strong results and ability to capture market share quarter after quarter demonstrate our own agility. Cognizant has consistently shown that we are able to quickly sense and respond to client need and build new solution offerings to meet those client needs. Supported by our core strengths, this value proposition positions us as our clients' partner of choice to drive agility throughout their businesses. First, our intimate client relationships, deep domain knowledge and seasoned consulting team enable us to quickly identify trends in our client industries. The lens through which we view clients' problems is not purely technology or operations based. Our team brings a business lens that aligns technology and operations with business value. And our inside-out knowledge of the unique nature of each client's business increases the magnitude of value we provide and decreases the time to provide it. Second, Cognizant is at a vanguard of the key technology drivers in the market because of investments in areas such as analytics and mobile, social and cloud computing. As a result, we can advise our clients on the best business uses of these new platforms, provide perspectives on the right approaches and then implement at scale. Third, our expansive delivery network, coupled with the social collaborative power of our Cognizant 2.0 delivery platform, means we can assemble an expert team when and where clients need it. And finally and perhaps most significantly, our ability to rapidly invest ahead of the curve across our services portfolio ensures that we stay current with client needs. While this view is shared by the clients I speak with around the world, it's resonated particularly well with European executives at our annual European customer conference last month, Cognizant Community. Record turnout, more than 200 registered clients and prospects, showed that European companies are actively searching for ways to manage through the uncertainty and are increasingly looking to Cognizant for that support. While attendee feedback showed that macro trends prompt short-term concern, it also reinforced our view that Cognizant is extremely well-positioned to help clients through it and to continue to capture market share and mind share. I'd like to spend the next few minutes giving you some client examples that illustrate the nature of the demand that we're seeing as client seek agility on both the revenue and cost side of their businesses. I'll then comment briefly on our outlook for the remainder of the year before turning it over to Gordon, who, as always, will take you through the details of this quarter's results and our outlook for the fourth quarter. As presented last quarter, Cognizant aligned our unique reinvestment approach across 3 horizons of growth opportunities. Within Horizon 1, our core application development and maintenance business, growing acceptance of the offshore model as a necessary lever to be competitive is driving deeper penetration within existing clients, as well as giving us an entrée to clients in newer geographies. At the same time, more mature relationships are making a push to convert time and expense-based models to managed services or other variable price models in order to drive agility through variable costs. Horizon 2, the tranche of offerings around areas like Business Process Outsourcing and Infrastructure Services, or ITIS, also benefits from acceptance of the offshore model as clients become agile by redefining and focusing on their core business. Management consulting, another Horizon 2 offering, further drives agility for clients. For example, top line growth for a Fortune 100 telecommunications provider was constrained by the speed at which they could bring new offerings to the market. An assessment from our consulting team revealed an opportunity to cut the cost of their approach by nearly 80%, thereby reducing the capital constraints and increasing their ability to rapidly expand network availability for their customers. In another example, our joint team of consultants and technical architects built a global platform, combining both business process and IT architecture, to enable a Fortune 500 apparel retailer's rapid organic expansion throughout the Asia, Europe and North America. Initial rollout of this platform has led to a sharp 15% increase in sales, with further growth expected through deployment in additional markets this year and next. While these consulting projects are significant in their own right, the growth-oriented nature of them is a harbinger of optimism for pull-through of our core offerings. We will continue to invest in Horizon 2 offerings, both organically and through strategic tuck-under acquisitions. This quarter, we acquired Zaffera, an SAP consulting and development firm focused on the retail industry. Zaffera's consulting expertise, innovative software solutions and deep retail expertise complement and bolster our already robust systems integrations offering and strengthen our ability to help clients tackle complex supply chain management, merchandising, e-commerce and store management challenges. I'd like to take this opportunity once again to welcome our new associates from Zaffera to the Cognizant team. The third horizon is comprised of a class of emerging services. For example, our practices around engineering and manufacturing services, analytics, mobile, cloud and social computing. In today's fast-paced, always-on world, capabilities in these areas are urgently becoming requisites for keeping up with changing customer behavior. Within mobility, clients are showing strong interest in the thought-leading solutions that we're bringing to the table, and for good reason. For most of us, a smartphone or tablet is the first thing we pick up in the morning and the last thing we put down at night. And that isn't going to change. Industry analysts believe that by 2015, there will be over 7 billion mobile devices in the world, an average of 1 per person. Clients clearly see the need to be in front of this trend. And while most of us just see the icon on our smartphone, mobile is far more than the application. Indeed an engaging user experience and elegant interface design are important. But for companies to drive business value, they must deploy mobility in the right places and integrate it with the right processes and systems. Cognizant's mobile consulting team is helping clients do just that. For example, as part of an effort to help a manufacturing client evaluate the importance of mobility to their business, Cognizant's comprehensive approach surfaced more than 100 different mobile-enabled transformational opportunities. In another example, we saw the tablets that our clients use to make their sales force more mobile as an opportunity to address a different pain point around pushing product training out to their field. Our joint team of mobile professionals and user experience experts are now creating a platform through which new training materials and an existing catalog of courses are being made mobile-ready for easy reference. Through this channel, our client will ensure that their sales teams have the most relevant and up-to-date information they need to be effective. Shifting to another area of focus for our clients, I'd like to talk about how our enterprise analytics factors are helping clients with big data, the term given to the ever-expanding volume of information with which businesses contend. Whether a bank's early detection system for identity theft or a utility optimizing power generation based on realtime usage data, gleaning insight and more importantly, foresight is a driver of business agility. When product sales unexpectedly faltered through one of our clients' primarily retail channels, we were brought in to help analyze what was going on. Rather than waiting for months of point of service data to detect a trend, Cognizant mined realtime social information from sites such as Facebook, Twitter and Amazon. We diagnosed that the problem was actually the retailer and not our client's product. Armed with this insight, our client is not only able to address the supply chain issue before it gets out of hand, they can now help an important business partner resolve a yet unrealized issue of their own. This type of realtime agility completely changes supply chain dynamics. These are just a few of the examples where we are helping clients build stronger businesses by infusing agility in the face of economic uncertainty. Turning now to guidance for the fourth quarter. We remain optimistic given the positive trends I presented today. We recognize, of course, the volatile environment in which we work and will continue to follow our proven approach of staying close to our clients and monitoring for changes. As a result of strong third quarter performance and outlook for the rest of the year, we are providing guidance for the fourth quarter of at least $1.66 billion, which brings our full year guidance to at least $6.11 billion. I'll now turn the call over to Gordon to review our detailed financial and operating metrics, after which we'll open the floor to questions and I'll end with a few closing remarks. Gordon?
Gordon J. Coburn: Thank you, Francisco, and good morning to everyone. Q3 was a very solid quarter for us. We saw broad-based growth across our industries and service lines. We were particularly pleased with our performance of financial services and healthcare. During the third quarter, we experienced continued growth in our Financial Services segment, which includes our practices in insurance, banking and transaction processing. This segment grew 7% on a sequential basis and 26% year-over-year. It represented 41% of revenue for the quarter. The significant growth within Financial Services was driven by growing demand for IT Infrastructure Services and high-end BPO services, ongoing focus on cost optimization, initial activities related to regulatory requirements and greater demand for customer relationship management work. Healthcare continued its growth during the quarter with the 11% sequential growth and 42% year-over-year. This segment represented 26% of revenues. The strong growth within the segment was driven by increasing traction for our newer offerings, including cloud-based CRM, mobile technology and business process as a service offerings. Continued ramp up of consulting work, with key pharmacy benefit management clients, as well as work related to ICD-10, and increased focus on consumerization of health plans in expectation of market opportunities resulted from healthcare legislation. Manufacturing retail logistics continued its growth during the quarter and grew 5% sequentially and 35% year-over-year. It represented 20% of revenues. Demand within this segment was driven by ramp up of our consulting services, particularly analytics, as retail customers drive towards enhancing the consumer experience. Growth in multichannel e-commerce integration efforts, including mobility pilots and intelligent store concepts, and continued growth in large strategic clients as we expand relationships into newer functional and service areas. The remaining 13% of revenue came primarily from other service-oriented industries of communications, entertainment, media and high technology, which as a group, grew 7% sequentially and 26% year-over-year. We were particularly pleased with the growth within our telecommunications industry practice which is driven by ramp up of key wins related to mobile technology and building of front-end consumer interfaces covering functions such as order management, as well as growing traction of consulting driven by thought leadership and domain knowledge, with specific focus on technologies associated with mobility and customer care. Application development represented 51% of revenue and application management, 49%. Development grew 35.5% year-over-year and 7.5% sequentially. Management grew 27.7% year-over-year and 8.1% sequentially. After several quarters of higher sequential growth in development work, we saw our more balanced growth between development and management as clients expanded outsourcing projects to address their 2012 savings objectives. A common theme we are seeing is clients further leveraging Cognizant for application management, infrastructure management and BPO activities to free up budget to protect and continue spend on strategic development initiatives. During the quarter, 78.1% of revenue came from clients in North America. North America grew 8.3% sequentially and 32.2% year-over-year. Europe was 18.2% of revenue, and 3.7% of revenue came from our clients in Asia Pacific, the Middle East and Latin America. For the quarter, Europe grew 5% sequentially and 26.5% year-over-year. Continental Europe reported slightly higher growth at 6.4% sequentially, while the U.K. grew 4.2%. European revenue was negatively impacted by currency movements of approximately $800,000 compared to the second quarter. On a constant dollar basis, Europe grew 5.3% sequentially and 19.3% year-over-year. The macroeconomic issues in Europe are resulting in some constraints on discretionary spend, largely offset by increased focus on leveraging global delivery for maintenance, infrastructure and BPO activities. As expected, on a sequential basis, our pricing was flat during the third quarter as most of our 2011 price increases were reflected in our run rate coming into the quarter. We had a net addition of 56 customers during the quarter and closed the quarter with 777 active clients. During the quarter, the number of accounts which we consider to be strategic increased by 6. This brings our total of strategic clients to 185. We continue to see a trend towards our newer strategic customers embracing a wider range of Cognizant services at an earlier stage in the relationship. Turning to costs. On a GAAP basis, cost to revenues, exclusive of depreciation and amortization, was approximately $925 million and included approximately $4 million stock-based compensation expense. The increase in cost of revenues is primarily due to additional staff both on-site and offshore required to support our revenue growth. We increased our technical staff by over 10,000 people during the quarter and ended the quarter with over 122,000 technical staff. Third quarter SG&A, including depreciation and amortization expense, was $383 million on a GAAP basis and include approximately $20.5 million of stock-based compensation expense. Our GAAP operating margin was 18.3% for the quarter and our non-GAAP operating margin, which excludes stock-based compensation expense, was 19.8%. This was within our target range of 19% to 20%. The average rate of the rupee was 45.7 versus 44.7 in the second quarter and 46.4 in Q3 of last year. $195 million of rupee denominated operating expense cash flow hedges were settled during Q3. This resulted in a $7 million gain which is recognized in operating expenses. We further extended our India rupee expense hedging program with over $3 billion in outstanding hedges of our rupee expenses, which will mature each month through 2015 at an average rate of approximately 50. We had $10 million of interest income. In addition, we had a net loss of $15 million of other nonoperating expenses. This included a net foreign exchange loss of $16.1 million. This was primarily due to the remeasurements of certain India and European balance sheet accounts, offset by gains in certain balance sheet hedges. As has always been the case, our Q3 guidance excluded any Q3 nonoperating foreign exchange gains or losses. Our GAAP tax rate for the quarter was 21.1%. Our tax rate came in lower than previously anticipated, primarily from the following reasons. First, the weakening of the Indian rupee in the quarter lowered the tax provision for our Indian operations on a U.S. dollar reported basis by about $6 million. And second, we recorded a favorable discrete items of approximately $3 million as a result of the lapse of statute of limitations on certain FIN 48 provisions. We expect our full year tax rate will be slightly over 24% and continue to model a 2012 tax rate of approximately 25%. Our diluted share count for the quarter was 309.3 million shares, down slightly from Q2. During the quarter, we repurchased 2.6 million shares at an average price of $62 for a total cost of $163 million. Within our currently authorized $600 million share repurchase program, we have purchased a total of just over 5.6 million shares at a cost of $378 million. Turning to the balance sheet, our balance sheet remains very healthy. We finished the quarter with about $2.3 billion of cash and short-term investments. During the quarter, operating activities generated $329 million of cash. Financing activities used approximately $147 million of cash. This was comprised of expenditures of $163 million towards our share purchase program, partially offset by net proceeds of $16 million related to option exercises and related tax benefits, as well as our employee stock purchase program. We spent approximately $74 million for capital expenditures during the quarter and $56 million on acquisitions. As previously announced, in 2011, we expect to spend approximately $285 million on capital expenditures, the majority of which will support our current wave of facility expansion. Based on our approximately $1.3 billion receivables balance of September 30, we finished the quarter with a DSO, including unbilled receivables of 73 days, down from 75 days in the second quarter and down from 81 days in the third quarter of last year. The unbilled portion of our receivables balance was approximately $163 million. Approximately 66% of the Q3 unbilled balance was billed in October. During the third quarter, 31% of revenues came from fixed bid contracts. Net headcount increased by over 12,000 people during the quarter. 52% of gross additions for the quarter were direct college hires, while 48% were lateral hires of experienced professionals. Excluding the impact of acquisitions, 59% of our additions during the quarter were direct college hires. We ended the quarter with over 130,000 employees globally. Approximately 4,000 of the Q3 additions were due to the acquisition of CoreLogic's India operations during the quarter. We are very pleased with the balance we achieved between direct college hires and experienced professionals. Attrition in the third quarter was 13.4%, lower than Q2 attrition of 15.2%. As we have discussed in the past, there's no consistent methodology in the industry to report attrition. We have historically reported attrition by annualizing the turnover which occurred within the quarter, including both voluntary and involuntary. Our attrition statistics include all departures, including BPO and employees in our training program. As expected, utilization increased slightly during Q3. Offshore utilization was flat on sequential basis at approximately 70%. Offshore utilization, excluding recent college graduates who were in our training program, was approximately 81%. On-site utilization increased to about 94% during the quarter. I'd now like to take a few minutes to comment on our progress in the important operational area of Talent Management. We're very pleased with our continued success in winning the war for talent. This includes attracting, retaining and motivating and quickly growing an increasingly complex global talent pool to support our ever expanding range of services, industries and geographies. On the prior earnings call, we highlighted several initiatives we were launching around performance management, rewards and recognition and employee engagement to ensure that we would continue to attract and retain the millennials and the millennial-minded associates. The results of these efforts are clearly evident, in the success we are experiencing in hiring both college and experienced talent across industries. Our attrition this quarter of 13% continues to trend -- a trend of very favorable, industry-leading attrition and we believe is a strong affirmative vote for our employee value proposition. In India, we continue to enjoy the top slots at the campuses where we recruit. An interesting statistic we recently saw on campus is that in situations where student has offers from Cognizant as well as other leading firms, over 70% of the time the student chooses to join us over their other choices. In the United States, we have launched our second year of campus recruiting and are expanding the program to 17 campuses based on the success of this initiative over the past year. But we also recognize that we must continually sharpen our focus to further cement Cognizant's reputation as the employee of choice by driving initiatives to attract and retain associates who view the success of Cognizant and its clients as the key driver for their own personal growth and ambitions. These initiatives include evaluating and enhancing our associates career planning, to provide additional opportunities in more flexible and accelerated growth paths. This is increasingly important as career options expand due to the increased complexity of our business. Second, creation of enhanced on-boarding programs to support our continued headcount growth, thereby improving satisfaction and productivity of our associates. Given that we hire an average of 20 professionals per business hour, this initiative can drive significant savings and productivity gains. And finally, refreshing our employee value proposition. This is a set of attributes that our associates and potential recruits perceive as the value they gain by being part of Cognizant. I'd now like to comment on our growth expectations for Q4 and full year 2011. We believe that our business is well-positioned for continued industry-leading growth. This is supported by a healthy pipeline and a stable sales cycle. For the fourth quarter of 2011, we're projecting revenue of at least $1.66 billion. For full year 2011, we continue to expect industry-leading revenue growth. Based on current conditions and client indications, we are raising our revenue guidance to at least $6.11 billion. This represents full year growth of at least 33%. For the coming quarter and the full year, we expect to operate within our target operating margin of 19% to 20%, excluding the impact of equity-based compensation expense. Therefore, we are currently comfortable with our ability to deliver Q4 GAAP EPS of $0.76 and non-GAAP EPS of $0.82, which excludes estimated stock-based compensation expense of $0.06. This guidance anticipates a Q4 share count of approximately 311 million shares and a tax rate of approximately 24.5%. It excludes any Q4 nonoperating foreign exchange gains or losses. For the full year 2011, we expect GAAP EPS to be $2.83, and we expect our full year non-GAAP EPS to be $3.05 excluding $0.22 of estimated full year stock-based compensation expense. This guidance anticipates a full year share count of approximately 311 million shares and a tax rate of 24.1%. It also excludes any Q4 nonoperating foreign exchange gains or losses. Now I would like to open the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes from Edward Caso of Wells Fargo Securities.
Edward S. Caso - Wells Fargo Securities, LLC, Research Division: Can you talk a little bit about what was in the guidance for Q3 and the events that you -- the acquisitions and so forth you did during the quarter were -- was any of that in guidance or did that come later?
Gordon J. Coburn: The -- there was about $8 million of acquisition revenue. Virtually all of it was from CoreLogic, and that was in our guidance because by the time we released earnings, we had already announced the acquisition.
Edward S. Caso - Wells Fargo Securities, LLC, Research Division: And my other question is around BPO business. Can you size it for us as a percent of revenue, the growth rates? What strategy are you using maybe to differentiate and where you're having traction and maybe who you're seeing most often?
Gordon J. Coburn: Sure. Let me start with the first part of the question then I'll hand it over to Francisco. We are very pleased with the growth we're seeing in our newer service offerings, both BPO and infrastructure management, which are new offerings that are now in the -- have hit the inflection point or in the hypergrowth phase, both grew well above company average during the quarter. And here, we continue to make very good progress in both those sectors.
Francisco D'Souza: And I think, Ed, just to -- excuse me, to give you some color around the -- we focus our BPO business on what we think our industry or vertical-specific BPO. So our approach to the BPO marketplace is to work with clients on processes that are not horizontal in nature, but are really specific to the industries where we're strong, because there's a multiplier effect. In doing that, we can leverage our consulting group to do process design, process redesign, we can leverage our historical deep domain expertise and our knowledge of IT around key business processes. And so we tend, in that space, to compete to some extent with the -- with our traditional competitive set, the global outsourcing and systems integration firm, the India-based firms. But also -- depending on the segment wherein there might be some specialized providers, depending on the particular business process that we're competing in. So the competitive landscape is, to some extent, common with our past competitive base, but also new competitors there.
Operator: Your next question comes from Ashwin Shirvaikar of Citi.
Ashwin Shirvaikar - Citigroup Inc, Research Division: Gordon, could you comment on or provide further details -- you started off seeing that clients have started ramping up their core application management and savings so they could work. And you said it was too make room for FY '12. And so I guess that sort of brings up the question, that's probably on everyone's mind, which is how are your current clients are starting to think about that cycle and how to budget process going, anything you can provide on that?
Gordon J. Coburn: Sure. It's playing out just the way we have anticipated in a challenging economic environment. As Francisco mentioned, it looks like overall IT budgets will be flat to up a little bit, but clearly we're hearing clients say they're going to shift more work to the global delivery model because they have to get more done within those budgets. Part of the way they're doing that is to be very aggressive in moving application management work to global delivery. What that does is that frees up dollars so they can continue to spend on development projects. Because one thing that we're constantly hearing from clients is, unlike the 2008 cycle, they cannot slash and burn their discretionary development projects. So they're saying we have to find ways to protect that discretionary spend. The way they're doing that is by freeing up dollars in their management budgets by moving that work offshore. So it's playing out exactly the way we'd like.
Ashwin Shirvaikar - Citigroup Inc, Research Division: And Francisco, based on your own comments, are you better prepared, I would say, to perhaps capture more of that freed up dollars for discretionary spend and consulting now in terms of your capabilities?
Francisco D'Souza: Yes, I think without a doubt, Ashwin, that we're better prepared. I think we're prepared on multiple fronts. The first is that as these -- the traditional application management engagements become larger and clients look to outsource a wider range of services, our acquisition of PIPC from a high-end program management standpoint and our build-out of the management consulting group really helps with the transformational aspects of those kinds of initiatives. I'd also add to what Gordon said in that when clients are looking to make that trade-off between saying how do I move more to a global delivery model in order to protect strategic investments, that conversation very often leads to an application maintenance conversation but also increasingly now is leading to a conversation around things like Business Process Outsourcing and IT Infrastructure Services, which are also good levers that clients can use to free up budget dollars. So again, because of the investments that we've been making, and as Gordon pointed out, our BPO and IT Infrastructure Services business now hitting that point of inflection, we're seeing the conversations not just be about Application Maintenance but also about -- equally about BPO and IT Infrastructure Services.
Operator: [Operator Instructions] Your next question comes from Tien-Tsin Huang of JPMorgan.
Tien-Tsin T Huang - JP Morgan Chase & Co, Research Division: My question is on, I guess, fourth quarter guidance. Just looking at that relative to your peers, it looks, I guess, a tad slighter than usual. Anything to read into or call out as a relative headwind in the fourth quarter?
Gordon J. Coburn: I don't think there's anything remarkable positive or negative in Q4 guidance. We guided to at least 3.7% growth. Some of our competition guides to a range instead of at least so some of that may be semantics. Obviously, retail is an important growth driver for us, and as in every year, we would expect the Retail locks down their systems for the fourth quarter. Not seeing any signs of a budget flush. Certainly, we've assumed there is no budget flush in Q4. But as you can tell from the tone of the call, the business remains very solid. Customers continue to spend. We're not seeing disruptions in Europe. So we're not particularly concerned about Q4. But you do have some normal seasonality if you look historically for Q4.
Tien-Tsin T Huang - JP Morgan Chase & Co, Research Division: Yes, that totally makes sense. But just a quick follow-up to that, in just -- you mentioned Retail. Which other verticals or regions should we look to potentially grow a little bit below average in the fourth quarter? Because obviously, it sounds like everything here is pretty normal.
Gordon J. Coburn: Certainly, you would expect weak retail. Our assumptions in Europe, particularly Continental, would be modest for Q4. And then the other one is banking is obviously coming off of a very strong quarter. And just given it's size, you would -- I would always expect that to grow slower than company average.
Operator: Your next question comes from Rod Bourgeois of Bernstein.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: Gordon, I just wanted to talk about the operating margin in the quarter. I think with the rupee depreciation that occurred in prior years when that's happened, you've actually had operating margins sometimes go above your target range. And we didn't see that in this quarter. I guess, I'm wondering if you found ways during the latter stages of the quarter to reinvest any upside from the rupee, reinvest some back in the business for growth? It seems like it might have been tough to do that, given that a lot of the rupee depreciation occurred in the last month of the quarter. But it would be helpful if you could provide some color on the margins. It looks like pricing and utilization were pretty solid. So did you find some other investments?
Gordon J. Coburn: Yes, thanks Rod. The rupee had really very little impact in Q3. Remember, it only moved sort of in the back half of September. So our average rate for the rupee was 45.7 during the quarter. Obviously, the rupee's now sitting at 49 unchanged. So the bigger benefit of the rupee is actually a Q4 benefit, not a Q3 benefit. And also remember, we have a very aggressive hedging program. So as the rupee depreciates, the impact in us is mitigated just as when it appreciates because of our extensive hedging. But particularly in Q3, due to the movement late in the quarter, the impact was nominal. We get a little bit bigger impact in Q4, net of hedging. But obviously, we'll take advantage of that to accelerate some of our 2012 investment.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: So then as a follow-up on the question, I mean, you get -- you've benefited from the rupee in Q4. Should we expect margins to be at the very high end of the target range or are there specific investments that we should be looking for you to make in Q4?
Gordon J. Coburn: Our guidance assumes we're at the upper end of the 19% to 20% non-GAAP range. It will be able to accelerate investments and still be in the upper end of that range in Q4, in part due to the net impact of the rupee.
Operator: Your next question comes from Nathan Rozof of Morgan Stanley.
Nathan A. Rozof - Morgan Stanley, Research Division: Gordon, you recently mentioned that the sales process this year didn't experience a significant summer lull, essentially as investors were ramping up now in order to begin capturing some benefits in their investments for 2012. So as a result, I wanted to ask whether or not you've -- how visibility looks at this point in the calendar as you look into 2012 versus what visibility would normally be like at this time of year?
Francisco D'Souza: Why don't I take that. I think that our -- as we've said, instead of reiterating on the call today, our pipeline remains strong and are -- we're not seeing clients slowing down the decision-making. We had a good strong summer with the pipeline. I think you saw some of that reflected in our Q3 results. This was only the fourth quarter, I think, in the history of the company where we've had incremental revenue addition of over $100 million. So we feel good about the pipeline and also our ability to close on that pipeline and translate that into revenue. As we look forward, this time of the year, there's always a little bit of uncertainty as our clients go through the budget cycle. Clients are not quite sure where budgets are going to land and so they tend to be somewhat more cautious in terms of starting up new projects. So I would characterize our overall view of the marketplace as very strong and feeling good about the pipeline. And where we are given the seasonality in this time of the year as normal for the budget cycle at this point in the year. So I think it's a very normal year and we're not seeing any signs that things are slowing down at this point.
Nathan A. Rozof - Morgan Stanley, Research Division: Okay. And then just this one quick follow-up. Given how much you guys see in the BFSI vertical, I was wondering if you could give us any sort of a breakdown between the sub-industries there or whether or not you were seeing any divergence in demand patterns between insurance or banking or the like.
Gordon J. Coburn: In the third quarter, on a sequential basis, both BFS -- both Financial Services and Insurance did quite well. The sequential growth between the 2 was fairly equivalent.
Operator: Your next question comes from Bryan Keane of Deutsche Bank.
Bryan Keane - Deutsche Bank AG, Research Division: I guess, one question since you're on, Gordon, you made a comment that there were some constraints on discretionary spend in Europe. Has that popped up recently, and is it across-the-board meets vertical or is that in a particular vertical?
Gordon J. Coburn: The, we're -- Europe's interesting. We're clearly seeing the economic challenges as a catalyst for application outsourcing. No question about that. The -- on development, it's a mixed bag. People are trying to protect development projects. And part of the way they're doing that is accelerating application management and where they're doing development projects, they're looking more to leverage offshore. But are you seeing the floodgates open for new development projects in Europe due to the economy? No. But for the stuff they're doing, we just came back from our European community. And we were actually kind of surprised at how many of the CIOs said we are going to figure out how to protect our development spend. We may not grow it, but we're -- certainly, we need to protect it. So we're -- it's a fairly progressive view and clearly, CIOs are looking to use -- to look at the economic challenges as a mechanism to fundamentally change the way they get their IT work done. And I think we're well positioned to capture some of that as they transition.
Bryan Keane - Deutsche Bank AG, Research Division: Okay, and then just to follow on that, is there -- is it mostly the weakness that you do see? Is it in the financial services area? Then the last question I have, which is CoreLogic, $8 million in revenue in the quarter, I guess when did that close and how much acquisition revenue will be in the fourth quarter?
Gordon J. Coburn: Sure. So it closed middle of the quarter. So the -- so we had $8 million in Q3. Obviously, CoreLogic will therefore be about $15 million in Q4. So this incremental, $7 million, give or take. And then, as I said, then we also acquired Zaffera, which will be another $7 million. So the incremental acquisition revenue in total in Q4 will be about $15 million versus the incremental $7 million or $8 million in Q3.
Operator: Your next question comes from Arvind Ramnani of UBS.
Arvind A. Ramnani - UBS Investment Bank, Research Division: Can you provide a little bit more color on the pipeline? Can you touch upon probably the type of work, the size and the number of deals? And also are there any large deals that you're looking to close in the next couple of months that could have an impact on how you guide for 2012?
Francisco D'Souza: I think -- let me start with sort of some high-level comments in the -- that build on what I said during the prepared comments. As we look at the marketplace, and Gordon alluded to this also, this environment of volatility that we find ourselves in, whether that's economic volatility or volatility driven by other factors, like advent of new technology and so on and so forth, has been now a prolonged period that our clients are dealing with this volatility. So what we're seeing is that clients are in some sense is coming to think of this volatility as the new normal. And they're looking to, in many ways, take advantage of that volatility. And I think one of the -- as we look at our pipeline, our pipeline reflects the fact that the value proposition that Cognizant has in the marketplace is that on one platform, Cognizant can help clients drive both innovation and efficiency on one platform, and that's, I think, a very unique capability that we built in the company. Our pipeline reflects that. When I look at our pipeline, it's evenly balanced between what I think of as new development, growth-oriented kinds of work and work that I think is more focused on cost containment or driving efficiency and effectiveness type of work. As I said during the comment, we see that trend also reflected in the consulting work we're doing, our management consulting work. When we look at the management consulting work that we're doing, about half of the work is focused on initiatives that clients are looking at that will drive their top line growth, and about half of the work we're doing is focused on work that is somehow focused on cost containment. So our traditional service lines of Application Maintenance and new service lines like BPO and IT Infrastructure Services are the ones that are benefiting from the -- from one side of that trend, and service offerings like the traditional application development service lines, but newer service offering like analytics, data warehousing, CRM are benefiting from the other side of that trend. When I look at the pipeline of large deals, again, we felt good about the pipeline of large deals across the last several quarters. We feel good about our ability to close those deals. We are closing them. They're reflected in our results. But if I look forward over the next quarter or 2, I don't think there's a single large deal, or 1 or 2 big deals that I would point to that would say we have a significant impact on our -- on how we think about guidance going into 2012.
Operator: Your next question comes from Sachin Jain of Kaufman Bros.
Sachin Jain - Kaufman Bros., L.P., Research Division: You've increasingly talked about investments in mobile, social and cloud. Can you give us a sense of what these areas are as a percentage of overall revenues and where do you expect it to be for the next 2 to 3 years? Just trying to get a sense of it.
Francisco D'Souza: Yes. When we think about the 3 horizons of service offerings that we talk about, the social, mobile and cloud are the Horizon 3 offerings. These are offerings, which are nascent, but we're making significant investments because we think they're going to be significant growth drivers going forward. Today, those represent collectively a very small percent of revenue, a very small portion of revenue. Our goal there is not necessarily short-term revenue. Our goal is to build mindshare, to build capability, so that we stay ahead of our clients. And when our clients start to adopt, we are there and ready. There's an incredible amount of work that we're doing, for example, in mobile. This year alone, in the first half of the year, we did over 100 mobile projects and we've got, I think, 50 or 70 currently in flight. So there's a tremendous amount of work we're doing. But collectively, the revenue it represents is very small. In terms of when I think this will have meaningful impact on revenue, I think it's still several years. We're looking at the next 2 or 3 years before these will start to become sizable and we'll point to them and say these are having significant impact on revenue. But that's a very normal cycle when I think back to investments that we made in BPO and IT Infrastructure Services. It took a few years of investment before those started to move the needle at an overall company level in revenue.
Sachin Jain - Kaufman Bros., L.P., Research Division: Fair enough. And then one final question before I turn it over. You talked a bit about BPO earlier. Can you also talk about the traction and investments you're making in platform-based BPO solutions or even VPAS like if you could talk about that?
Francisco D'Souza: Yes. I mean, we consider when we talk about the BPO business, we think that platform-based BPO is just the way that things will happen going forward. In a large part of that business, we continue to invest in building our platforms. I think it was last quarter or the quarter before, we talked to you a little bit about the platforms we built in Life Sciences for Commercial Operations and our win with Eli Lilly, that continues to ramp up very nicely and exhibit the kinds of characteristics that we expect out of platform-based BPO businesses. And we continue to look at a range of options, including organically building platforms, doing small tuck-in acquisitions to acquire platform capability, and also looking at monetizing client assets as ways to build out platform. So we expect to continue to build out the platform -- a portfolio of platforms to underpin all aspects of delivering our BPO business.
Operator: Your next question comes from Jason Kupferberg of Jefferies.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: So I just wanted to talk a little bit more about Q4 and trying to kind of take your temperature qualitatively a bit. I mean, the numbers are what they are, the sequential growth maybe a little bit less than people were expecting. But is it the kind of situation where you guys feel the need to inject a little bit of extra conservatism into this year's Q4 guide, perhaps versus kind of a "normal year" just given some of the macro uncertainty? Because it sounds like all the underlying trends are still positive. But I wanted to try and get a concrete sense of whether or not there's a little bit of kind of extra conservatism that you guys are building in here, just given some of the macro unknowns?
Francisco D'Souza: Yes, as I've said, we consider this to be a normal year. We're not seeing the budget's cycle slow down. We think budgets are right on track. As I mentioned during my comments, budgets we think are -- will be our best view right now. But early in the processes, that budgets will be flat within upward bias going into next year, which is the way it's been for some years now. The share shift to a global model clearly will continue, and so we expect that, that will fuel our growth. We don't see -- the one thing is we don't see a budget flush this year as in some prior years. So that is built into our guidance for Q4. But I would say that all things considered, I think this is a normal Q4. And our visibility is as it is in a traditional Q4 at this point.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: Okay. And just as a quick follow-up, obviously, your model is evolving more towards domain expertise in consulting, which, I think, is absolutely the right strategy. And I wanted to get a sense of how that has impacted your approach to employee training and development? Are you having to invest more in these areas as part of your move up the value chain, and is there any way to quantify that?
Gordon J. Coburn: The answer is absolutely yes. We -- it has changed how we attract, how we train, how we retain people. We have a much complex workforce today. We have very high-end consultants through to our technology specialist through to BPO people, infrastructure management folks. So a very broad range of workforce. So now as this has evolved, we've been making sure that we have multiple career tracks because that's one of the most important things, is not to say one-size-fits-all but to recognize the variations in the workforce. So we feel good about it. We have always invested very heavily in technical training. Clearly, we beefed up our, I'll call it our domain training, as well as our leadership development. But that investment is all well underway. It's in our run rate. And you can see in our attrition rates, our attrition rates are well below industry average when you do an apples-to-apples basis. So we're feeling quite good about it.
Operator: Your next question comes from Julio Quinteros of Goldman Sachs.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Gordon, just real quickly on the -- if you go back to the beginning of the year and look at Europe in terms of the -- some of the slips that you guys have seen, a lot of that was supposed to have come back in the third quarter. Can you characterize how much of that came back? Did you guys get all of the pieces of the European revenues back in the third quarter as expected?
Gordon J. Coburn: Yes. Certainly not all, but if you ask me in another part of the year, in the back half of this year, I would have expected Europe to grow faster than the company average. Obviously, it's going a little bit slower. But obviously, we also didn't anticipate there would be as much turmoil in the -- particularly in the Eurozone. But given the turmoil, we're feeling pretty good about things. We had -- we still had nice sequential volume growth. But is it as robust as we would've anticipated 6 months ago? Certainly not. But is it holding up well? Yes. And well, probably most importantly, when we sat down with 200 of our clients and prospects a couple of weeks ago and talked about what their spending plans were, they were not slashing or burning things. They were saying, "Yes, we still -- our budgets are going to be tight but we still have to get this work done." So there is probably increased interested in how do they leverage us going to 2012. But so kind of a mixed bag, but not as good as we anticipate for this year. But probably better than we would have expected, given what you read in the newspaper for what clients are planning to do.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Okay, just one quick follow-up on metrics. Can you just give us the top 5, top 10 clients and then the effort mix in billing rates as always?
Gordon J. Coburn: Sure. So top 5 clients are 16.3%. All of our 5 largest clients grew sequentially. And top 10 was 27.8%. And what was your other question, Julio?
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Effort mix and billing rates -- the change?
Gordon J. Coburn: Sure. Hang on one sec. Okay, we shifted a little bit offshore -- not significantly, we were about 79% offshore, 21% on-site. So a slight shift towards offshore. And billing rates were, on a sequential basis, essentially flat, moved a couple of pennies here and there.
Operator: Your next question comes from Mayank Tandon of Needham.
Gordon J. Coburn: And this is our last question. Go ahead, Mayank.
Mayank Tandon - Needham & Company, LLC, Research Division: Gordon, just -- you mentioned you saw the early kick from regulatory work in Financial Services. I'm just trying to figure out is that going to be more of a driver in fiscal '12? What's your best read talking to customers?
Francisco D'Souza: Mayank, it's Frank. Listen, we did start to see some early work in financial services around regulatory reform. And that's driven by actually a broad range. It's not just Dodd-Frank. There's new Financial Services-related regulations across the world, some -- actually some cleanup work from Basel II. Some -- I anticipate some with Basel IIIs, new FSA regulations in the U.K. So we're starting to see consulting work. We've been doing consulting work around the new reg for some time, and is now just beginning to see that translate into early IT work. And interestingly, even some conversations with clients around some of this translating into BPO work, as clients say there's new activities that they have to perform perhaps are best not done in-house but are done by a third party provider like us. So we're starting to see the signs that this is translating into downstream work. I think it will be somewhat of a driver for next year, but I think it's probably too early for me to characterize exactly how strong that driver will be. I think, certainly more than we saw this year but I don't know if I'm yet ready to say it's going to be a significant driver going into next year.
Mayank Tandon - Needham & Company, LLC, Research Division: And then on the healthcare side, is that helping some of the growth that you've seen in the last few quarters in terms of further regulatory work helping or is that really just more an under penetration so you're seeing strong growth on the back of that?
Gordon J. Coburn: Clearly, in healthcare, we're benefiting from regulatory work, both direct work on some of the new code sets that have to be done, as well as work related to our clients preparing for increased volumes that they anticipate having out of U.S. healthcare reform. And as I said, our Healthcare business was on fire in the third quarter. It grew 11% sequentially. So we're really feeling very good about healthcare. Part of it is directly due to regulation, but a big part of it is just the long-term changes in the industry and the people wanting to adjust their business models.
Mayank Tandon - Needham & Company, LLC, Research Division: Just a couple of quick housekeeping items, Gordon. What is the average FX rate you are using for the rupee and for the euro and the pound for the quarter in terms of guidance?
Gordon J. Coburn: For the -- it's spot rates for everything, current spot rates.
Mayank Tandon - Needham & Company, LLC, Research Division: Got it. And finally you mentioned on pricing that you've already seen the impact that you built in. I didn't quite get the comment around pricing so maybe you could help clarify in terms of what you're seeing on the pricing front and then what do you expect going forward.
Gordon J. Coburn: Sure. So the way it works is you negotiate price increases 6, 9 months before they kick in. So in 2010, we were very successful in negotiating price increases that kicked in, in the first half of 2011. The reason we were so successful is there were a number of years since we had had a price increase so everyone was eligible, and you saw that, and our average rate is up about 4% or 5% year-over-year. Virtually, all of that kicked in, in the first and second quarter. So there was nothing -- there's almost nothing left from the 2010 negotiations to kick in, in Q3. And that's why it was flat, which is exactly what we would have anticipated. We're talking to clients now about 2012 rate increases. Clearly, we will not have the same order of magnitude as we did in 2011 for the very simple reason, not all customers are eligible. So the pool of who we can get price increases from will be smaller than it was in -- than last year because not every client gets a price increase every year. The way I'd characterize pricing, it's stable with an upward bias. So we're feeling fine about pricing not seeing anything that's causing alarms. But certainly, not every customer will contractually be eligible this year versus last year, most customers were eligible.
Francisco D'Souza: Thanks, Mayank, and thanks, Gordon. So we'll just wrap up. And as we've said, despite consistent market uncertainty, our clients continue to make targeted investments with trusted providers to build agility into their business models through lower more variable cost basis and new capabilities. The close alignment of these objectives with our services portfolio leaves us optimistic that we're making the right investments to remain the partner of choice for our clients over the long term. Thank you again for joining us, and we look forward to speaking with you in 2012.
Operator: Thank you for participating in today's conference call. You may now disconnect.